Operator: Welcome to Jet Blue Airway’s Corporation’s third quarter 2008 earnings conference call. Today’s call is being recorded. We have on the call today David Barger, Jet Blue’s CEO and Ed Barnes, Jet Blue’s CFO. As a reminder, this morning’s call includes forward-looking statements about future events. Actual results may differ materially from those expressed in the forward-looking statements due to many factors and therefore, investors should not place undo reliance on these statements. For additional information concerning factors that could cause results to differ from the forward-looking statements, please refer to the company’s annual and periodic reports filed with the Securities and Exchange Commission. At this time, I would like to turn the call over to David Barger. Please go ahead sir.
David Barger: Thank you Kristine. Good morning everyone and thank you for joining us today. I am very pleased to announce that yesterday we opened our new Terminal 5 Facility at JFK Airport, a very significant milestone for Jet Blue. This project was over six years in the making and we are thrilled to be able to finally offer our customers and our crew members a world-class airport experience. Terminal 5 is one of the first major new terminals designed and built in the United States since 9/11 and it will be readily apparent to those of you who visit this facility that it is responsive to the requirements of travelers in a post 9/11 world. Until yesterday, we have been serving our JFK customers in frankly, a cramped and worn our facility over 40 years old. Despite this challenging environment, we’ve built an incredible brand and tremendous customer loyalty. Our new home in Terminal 5 is in my view, the best terminal in the New York metropolitan area. We’re incredibly excited about the opportunities to take the Jet Blue experience to the next level. I’d like to thank our partners at the Port Authority of New York and New Jersey for helping us build and finance this project on affordable terms. JFK is the keystone of our network and this facility is certain to be a critical part of our continued success. We truly experienced a near seamless opening of Terminal 5 yesterday. Let’s turn now to our financial results for the third quarter, which we announced this morning. We reported an operating margin of 2.4%, resulting in a net loss of $4 million or $0.02 per diluted share. Year revenues continue to show impressive growth during the third quarter, which was once again among the best in the industry. Passenger revenue per available seat mile grew 16% year-over-year and RASM gained over 20% on a year-over-year basis. Leading the industry and unit revenue growth, especially in this challenging environment, is a true testament to the hard work and dedication of our outstanding crew members, who continue to do an exceptional job. Unfortunately, despite the dramatic decline in fuel prices in recent weeks, our strong unit revenue gains during the quarter were offset by record fuel prices, which were the highest fuel prices we’ve ever experienced. Jet Blue’s average fuel price during the third quarter was over 60% higher than the third quarter of 2007. To provide some perspective, had the price of jet fuels stayed constant to where it was in the third quarter of 2007, our fuel expense would have been lower by approximately $150 million. Record setting fuel prices have made this a very challenging year for the entire industry, only to be matched by the new challenge of financial market turmoil. As Ed will soon discuss in greater detail, we are focused on and well positioned for the current economic environment and the impact it may have on our business and we will continue to take prudent action to insure we are well positioned in this volatile environment. Our focus is on three major areas; capacity, revenue, and liquidity. First with respect to capacity. Over the past several years we have adjusted our growth plans a number of times through aircraft sales and deferrals and more recently through leases. We were originally scheduled to take delivery of 36 new aircraft this year, which we reduced to 18 through deferrals. As previously announced, we entered into agreements to sell nine used A320s this year. Six of which have been delivered to date. In addition to the nine A320 sales, we agreed to lease two Embraer 190s during the third and fourth quarters. I am pleased to announce this morning that we have entered into an agreement to sell two additional A320s during the fourth quarter. At the same time however, we have had discussions with one of our aircraft buyers about moving two of our previously announced A320 sales into next year. After these deferral sale and lease actions, we expect our net aircraft deliveries in 2008 to be a total of seven aircraft, consisting of three Airbus A320s and four Embraer E190s. More details regarding our aircraft delivery schedule will be available in our investor update, which will be filed later today. In addition, we have taken an increasingly tactical approach to capacity management with network schedule and fleet mix adjustments. In past years it was not unusual for Jet Blue to fly through a trough period with pretty much the same schedule used in peak periods. Through my select trough pull downs, especially in our transcon markets, this past September our capacity was down over 11% year-over-year and in October we expect our capacity to be down 12%. We have focused most of our capacity growth in Latin America and Caribbean markets, which tend to mature very quickly from both a P&L perspective and a cash point of view. We continue to adhere to a policy that future growth must be funded through cash from operations. Looking ahead to 2009, we plan to continue to take a conservative approach to capacity. On our last earnings call, we announced that we did not plan to grow in 2009. We are currently working through the specific details of our 2009 plans and remain committed to a no growth view. It simply would not be prudent given the current environment. Our growth rate generally evolves from our network needs. This is somewhat of a departure from past practice when our aircraft order book dictated our rate of growth. We’re comfortable with our reduced load reschedule for the next three years, but at the same time our flexible fleet plan, including the availability of options, allows us to quickly respond to improved market conditions. We are prepared to further reduce capacity and make additional network adjustments, should economic conditions continue to deteriorate. As I’ve said in the past, every aircraft has to earn its way into the ride network. We have the flexibility to adjust our flight schedule as necessary to continue to eliminate unproductive flying while balancing any strategic opportunities that may present themselves. Our revenue performance is clearly benefitting from the capacity actions we have taken as we have been able to gain more pricing traction. Our third quarter PRASM increase of 16% was driven by 13% increase in yield. We achieved record fares during the quarter, with an average fare of about $143, an 11% increase over third quarter 2007. We continue to benefit from the maturation of new markets as they become the smaller percentage of our overall net worth. We define new markets as those open less than 12 months. During the third quarter about 8% of our seats were in new markets, compared to about 17% our seats in the third quarter of 2007. We also continue to benefit from reduced industry capacity which was down about 3% in our markets on the year-over-year basis during the third quarter. At the beginning of the summer we had been concerned about a potential softening in demand during the September trough travel period but significant capacity reductions gave us tremendous traction on the yield side. As mentioned, our capacity was down 11% during the month of September and competitive capacity in our markets was down almost 9% which helped drive a 28% increase in PRASM during September. Our reallocation of capacity from Transcon markets to shorter haul markets into the Caribbean where the yields are stronger has also provided a significant boost to our PRASM strength. However, as Ed will discuss in more detail, Transcon capacity reductions have pressured our unit costs. Due to revenue improvements during the quarter, we’re particularly strong in the Caribbean, even as we continue to add significant available seat miles to that region. Fifteen percent of our ASMs were in the Caribbean during the third quarter. Up over 20% compared to the third quarter of 2007, when 12% of our ASMs were in the Caribbean. Our ancillary revenue efforts continue to develop on plan. Some of these initiatives like even more leg room are recorded as passenger revenue and others are recorded as other revenue. Our other revenues increased over 80% to $95 million in the third quarter, due primarily to change fees and baggage fees. When we combine all of our ancillary revenue reported in the passenger revenue line, with those in the other revenue line, our total ancillary revenue per passenger increased over 100% year-over-year in the third quarter from about $10 per passenger to over $20 per passenger. Our goal is to tailor our products and services around what our customers value. We believe by having a strong brand and a strong relationship with our customers, we have opportunities to develop products that our customers want to pay for, rather than products that they have to pay for. We are exploring a number of product opportunities that we believe will enhance the customer experience and increase our revenue. Despite the weakening economy, demand for air travel has been remarkably resilient throughout this entire year. This has been very encouraging. Looking ahead to the fourth quarter, we are seeing steady demand through the quarter and we are cautiously optimistic. Bookings for the Thanksgiving holiday are strong and the early signs for the December holidays are positive but, we have limited visibility that far out. Given the economic uncertainty, we are cautious about the revenue outlook next year. We’re prepared to cut more capacity if revenue trends begin to weaken and we are developing plans in this event. Capacity reductions by both Jet Blue and other carriers will certainly continue to boost RASM. Our 2009 flight schedule is loaded through April and shows us flying about 5% fewer ASMs in the first quarter compared to first quarter of 2008. The trends that we have seen on the competitive capacity front for the first half of 2009 are very positive as well. We may continue to take advantage of market opportunities, but we will do so responsibly. Fortunately, our flexible fleet allows us the opportunity to effectively manage our capacity. We will be watching the revenue environment and fuel prices obviously, very closely. As we have done in the past, we will act quickly to make adjustments as appropriate. We are also taking steps to improve our liquidity as cash preservation continues to be a top priority for the company. We completed several significant financing transactions this year, which along with cash from operation helped us address an extraordinary year of debt payments. On the cost front, we are working through our 2009 budget process at the current time. We are doing our best to manage our costs, but capacity reductions continue to pressure our unit costs in the near term. At the same time, we need to protect our most important asset, our culture and of course, our crew members. Before turning it over to Ed, I would like to make a few comments about the Department of Transportation’s recent decision to auction slots at the New York airports. Jet Blue strongly opposes this experimental policy and I’ve personally expressed our position in a letter to the secretary of transportation. Quite frankly, we do not believe the DOT has authority to auction slots. Under the proposed rule, Jet Blue would have to bid for slots against international carriers with whom we cannot compete financially. Worst of all, this scheme has no rational nexus to the DOT’s stated goal of reducing delays and congestion. The DOT and the FAA should be focused on improving capacity and reducing congestion so that the delays and congestion we experienced in the summer 2008, which were worse than the summer of 2007, are not repeated again in 2009. Jet Blue along with the Air Transport Association and the Port Authority will continue to fight this flawed policy experiment in court and in Congress. In closing, I’d like to thank our crew members and share holders for their support. Many challenges lie ahead. The good news is that we believe Jet Blue is well prepared with a solid cash position, the best crew members in the industry, and a management team that will continue to respond quickly and prudently to the challenges that lie ahead. With that, it is my pleasure to turn it over to Ed Barnes for a more detailed review of our financial performance during the quarter.
Ed Barnes: Thanks Dave, good morning everyone. Before providing a more detailed review of our third quarter results, I would like to address the impact on Jet Blue of the recent financial market turmoil. While the volatility and uncertainty in the global financial markets are unprecedented, we are well prepared and we will continue to take prudent actions as events and opportunities unfold. Since the end of last year, a key focus of Jet Blue’s leadership team has been to manage risk in anticipation of a weakening economy. We strive to strike a balance between managing risk, preserving cash and ensuring our long-term success. For example, earlier this year we secured financing on all of our 2009 net aircraft deliveries. Additionally, we completed several significant financing transactions, took steps to reduce our capital expenditure, and slowed our growth through aircraft sales, deferrals, and more recently, leases. We entered the third quarter with $565 million in cash and cash equivalents. During the quarter we transferred all of our cash, including funds securing letters of credit from money market funds to U.S. Treasury Reserve Funds. While these Treasury funds earn a lower interest rate, we believe this conservative approach to managing our cash remains a prudent course of action. In addition to the $565 million in cash, we also have the $110 million line of credit with Citigroup that we announced on last quarter’s earnings call. This facility is secured by the majority of our student loan related auction rate securities and remains undrawn. As of the end of the third quarter we had $305 million of auction rate securities that remain classified as long-term investments. We are diligently working with the broker-dealers of our auction rate securities to implement the various legal settlements they have entered into with the various states which will provide ARS purchasers, including JetBlue, with a recruiting facility until the ARSs can be put to these broker-dealers at par, beginning in 2010. We hope to have these in place by year end. Putting our liquidity in greater perspective, through the third quarter of this year we have repaid approximately $500 million of debt, including approximately $175 million in payments of a convertible debt issue put to us in July. As a point of reference we expect debt maturities of only $160 million in 2009. During the third quarter we seized the opportunity to repurchase $53 million of our other convertible notes having a put date of March 2010 for $40 million. In a separate transaction we repurchased an additional $20 million of these notes in October for $14 million. As a result of these two repurchases we have reduced the outstanding principal amount on the 2010 bonds from $250 million to $177 million. In addition to extinguishing debt and improving the balance sheet, these repurchases will save future interest expense on the retired debt amount. This debt extinguishment resulted in a $12 million gain for the third quarter, which flowed through interest income and other on the P&L. Another key component of our risk management is fuel hedging, which we view as an important form of insurance on a portion of our future consumption against market volatility. The recent and sharp drop in oil prices certainly helps CASM and strengthens our future liquidity outlook. In the near-term, as is the case with other carriers, we have had to post cash collateral with various counter-parties to secure portions or positions taken with fuel as high as $140 a barrel. At quarter-end we posted approximately $30 million to support these open contracts, and should prices drop even further we may have to post additional cash collateral. Assuming a crude price of $70 a barrel and based on our current contracts, we would expect to have approximately $85 million in collateral posted at the end of the year. With respect to our credit card processing agreements, as previously announced during the second quarter, we post a $35 million letter of credit with our primary credit card processor, representing about 15% of the related air traffic liability. Earlier this month we agreed to increase the amount of this coverage to $55 million. As we rebuild cash at more normal debt payment levels in 2009, we believe that there may be an opportunity to reduce these holdbacks. Let’s now turn to a more detailed look at third quarter results. Fuel continues to be our largest operating expense, representing 45% of our total operating cost during the third quarter. Our fuel costs were up over 60% year-over-year on a unit-cost basis during the quarter. Average fuel price for the third quarter net of hedges was $3.42 a gallon. While spot prices have declined dramatically since the end of the quarter, fuel costs remain a major challenge. We hedged approximately 45% of our fuel consumption during the third quarter and recognized about $26 million in fuel hedging gains. Of this total, $1 million are unrealized gains that relate to fuel hedges for future periods and $3 million are related to basis swaps purchased to mitigate hurricane risk, and represented approximately 50% of our anticipated Gulf Coast fuel consumption during the third quarter. Our maintenance expense increased about 34% on a unit-cost basis during the third quarter, due mainly to the gradual aging of our fleet which results in additional repairs. We also had more E190 heavy maintenance checks during the third quarter compared to the year-ago period. Sales and marketing expense increased 19% on a unit-cost basis due primarily to the investment in our new Jetting advertisement campaign, which has had a positive impact on our customer awareness metrics. Depreciation for the quarter was impacted by an $8 million non-cash impairment charge related to the closure of our seven-gate temporary facility at Terminal 6 at JFK. We had previously assumed an alternative use for this building but have since elected to demolish rather than deconstruct the facility. Reading below the lines of interest incomes and expense. As I mentioned, we recognized an additional $12 million in interest income during the third quarter in connection with the pre-payment of convertible debt. In addition approximately $33 million of the 5.5% convertible divestures we issued in June of this year were voluntarily converted by the holders into shares of our common stock. As a result we recognized an additional $5 million in interest expense related to the acceleration of cash payments from the escrow account. Including the credit facility and possible sales or ARSs, we expect to end the year with cash in our target range of 20% or higher of trailing 12 months revenue. While we feel comfortable with our current cash position, we are committed to continued vigilance in driving additional balance sheet improvements going forward. With regard to CapEx, we purchased three aircraft that were debt financed during the quarter. Our non-aircraft CapEx for the third quarter was approximately $20 million and approximately $50 million year to date. Looking ahead at the fourth quarter and full year, we will have detailed guidance available on our investor update filed as an 8-K and posted to our website later today. Let me share a few of the highlights. We expect fourth quarter ASMs to decline between 7 and 9% year over year resulting in ASM growth between 0 and 2% for the full year. We expect our year over year PRASM growth for the fourth quarter to be between 18 and 20% and between 14 and 16% for the full year. We expect RASM to increase 23 to 25% during the fourth quarter and 18 to 20% for the full year. Moving on to CASM. For the fourth quarter we expect CASM to increase between 20 and 22%. This year over year increase is driven mainly by increases in the fuel price which we expect to be up about 20% over fourth quarter of 2007. For the full year we project CASM will increase 21 to 23%. Excluding fuel, we expect CASM in the fourth quarter to be up 17 to 19% and up 8 to 10% for the full year. As we reduce capacity especially in seasonal trough periods, we will face newer term cost pressures as it takes more time to extract costs than ASMs. At the same time, we continue to make appropriate investments in our brand, culture and technology to ensure that we are well positioned to drive future revenue. With regard to fuel, our CASM value assumes an estimated average fuel cost per gallon of $2.81 in the fourth quarter and $3.02 for the full year. These numbers are based on the forward heating oil curve as of October 17th. We’re ahead roughly 40% in Q4 and approximately 15% for 2009. Finally, with regard to CapEx, we estimate $160 million in aircraft capital expenditures in the fourth quarter and $630 million for the full year. We expect to end 2008 with 107 A320s and 35 E190s. In closing, I’d like to thank our crew members for all of their hard work in this challenging environment. Our most significant assets are not on our balance sheets. They are our brand, our culture and foremost our great crew members. While the financial turmoil and economic crisis is certainly unchartered territory for the entire industry, we will continue to take the actions necessary to ensure JetBlue’s success for the long-term. Looking ahead to 2009, we are confident with our financial position. We have a solid cash position and next year we have a very manageable aircraft delivery schedule, committed financing in place, moderate debt obligations and most importantly, a team that’ll continue to work in the best interests of JetBlue’s shareholders. And with that, we’re happy to take your questions.
Operator: Now, we will begin the 30 minute question-and-answer session for investors and analysts. (Operator Instructions). The first question comes from Mike Linenberg from Merrill Lynch. Please go ahead.
Mike Linenberg - Merrill Lynch: Oh yes. Hey good morning all. Two questions here. When the DOT put out their consumer report on time, I believe it was for the month of August, we saw that on time performance for the industry was like the best in five or six years, it reflected it wasn’t really because of better weather but it looked like we were starting to see the industry benefit from capacity coming out. That said, it looked like the New York airports it was more of the same. Delays were still pretty high. They topped the nation. Now, that was August. As we look in September and October, what are you seeing because there is more capacity coming out, are you starting to see some benefit there and maybe the new terminal will help? Just any comments or thoughts on that.
David Barger: Good morning, Mike. Let me take your first question. I think the August DOT numbers at Kennedy Airport, we’re not satisfied with the performance that took place on a year over year basis especially giving slots back to support a capped airport at JFK. We’re seeing September, October numbers considerably improved from those numbers, by the way, not necessarily as a result of the reduction of flying. It’s still quite the seasonal flying, the peak of summer, especially international traffic, September and October remains at Kennedy Airport. Even a day like yesterday, opening a new facility, we saw numbers in the mid 80% arrival 14 across the airlines just to give you a feel for it. So a very good operating day especially with a big day that we had going on in JetBlue. I think my headline continues to be working with the FAA to drive accountability by all concern about capacity enhancements and mainly driving improved capacity during the convective thunderstorm season. It seems like there’s about 75 days per year that the New York airports really pay the price and so does the nation. And there’s an ongoing plan to work with all involved to continue to improve that.
Mike Linenberg - Merrill Lynch: Okay, good and then just my second question and this is probably to Ed. In the quarter, were there any gains on aircraft sales? Do you take them, any in the third quarter? And if so, in what line item should we look for that?
Ed Barnes: We did have a gain on aircraft sales and it was $2 million and I believe that it’s in other operating expenses.
Mike Linenberg - Merrill Lynch: Okay. Okay, very good. Nice quarter, thank you.
David Barger: Thanks, Mike.
Operator: The next question comes from Duane Pfenningworth from Raymond James. Please go ahead.
Duane Pfenningworth - Raymond James & Associates: Hi thanks, good morning.
David Barger: Morning.
Duane Pfenningworth - Raymond James & Associates: Wondering if you could comment on your RASM growth regionally and specifically how does the Caribbean, your routes down to the Caribbean compare with the rest of the system?
David Barger: Yes, good morning, Duane. I think just overall on a year over year basis from a standpoint of RASM growth, we continue to be very pleased with the work of the commercial team. And I think a couple of different pieces in play here. First of all, from the standpoint of just capacity, not necessarily reductions in the summer but not additions over the course of the summer which, I think, benefited all across our network whether it’s Caribbean, whether it’s North South, even transcons or our short haul flying. I think a second thought is that the maturing markets, what used to be double digits last year in terms of markets open less than 12 months considerably less for us. So certainly helping. I think specifically to your question down to the Caribbean. We see reductions in capacity down in that part of the world by competitors and we’re seizing upon those opportunities with our brand. What we’re now doing down in the Domnican Republic and the Commonwealth of Puerto Rico specifically and it’s no secret that our next new city, next year, is Fototay, Colombia, down in the South America. We feel very, very bullish regarding our ability to continue to grow in that part of the world and certainly it’s what we’re doing but benefiting is also rather significant reductions in capacity by competitors.
Duane Pfenningworth - Raymond James & Associates: Thanks. And then just on the cost side, how does the new terminal impact your unit costs going forward?
Ed Barnes: You know, Duane, we haven’t given any guidance on that but it’s not going to have a significant impact on our CASM going forward.
Duane Pfenningworth - Raymond James & Associates: Okay, great and I think Jim has a question.
Jim Parker - Raymond James & Associates: Dave and Ed, just quickly. Are a proportion of your ASMs that come from 190s currently and then how does that roll out say in 2009?
Ed Barnes: Yes, hi, Jim. I think that it’s probably fair to say we’ll provide greater visibility on this later today but 190s roughly about 14% of the ASMs across our network. And as we take a look at our delivery plans next year, I mean the ASMs are going to be relatively looking the same percentage wise and we’ll have, again, some of this bakes into the investor update later today but it’s good. I mean I'll give you a good feel for how we’re breaking out the 320s and the 190s currently.
Jim Parker - Raymond James & Associates: Right and Dave, would you suggest that you’re getting premium fares on the 190?
David Barger: I think headline, Jim, would be that the ability to deploy this airplane and certainly into more of a business market but also into markets that, I mean just the flexibility of this airplane; Orlando Cancun, Tampa Cancun. Certainly not business markets but the ability to see a premium on this airplane, I believe that that was really the basis behind carrying this fleet over three years ago. And we’re seeing that. But again, it’s not specifically as a result of penetrating new markets such as business markets. I think a lot of it’s just the ability to connect markets that haven’t been flown in the past.
Jim Parker - Raymond James & Associates: Right. Okay, thanks.
David Barger: Thanks.
Operator: The next questions from Kevin Crissey from UBS. Please go ahead.
Kevin Crissey - UBS: Good morning. Wanted to ask about, how does the increase in ancillary fees affect your revenue practices with regard to load factor? If you’re getting $20 a passenger is there more of an incentive to kind of fill the plane? You’re not to the level of ancillary revenues certainly as a percentage of your total fees like an allegiant but they’re trying to have higher load factors and in the past, you’ve had higher load factors. What are your thoughts on that?
David Barger: Kevin, I think it’s really balancing core PRASM and again, keep in mind, that even more leg room is in PRASM and then we have the other revenues as well. But it’s pulling both of these levers. And at the end of day from the standpoint of RASM, trading off yield or I mean, from the standpoint of load factor, I think the team has done a really nice job not just on a ’08 over ’07 point of view but also ’07 over ’06. And I think that will continue moving into next year with capacity being stripped out of the airlines. We don’t necessarily look at let’s really start to drive that load factor because of all of a sudden it’s, here’s the $20 of additional revenue per enplanement that’s going to be on the airplane. Again, our philosophy on the ancillaries is really the ability to purchase up as opposed to nickel and dime. And so it’s -- and I think the other airline models is a little bit different along those lines. So, hopefully that gives you some color in terms of how we are looking at that.
Kevin Crissey - UBS: Okay, terrific, and another one if I could. Clearly you have some unit cost pressure with taking the capacity down, but what is unique about JetBlue, and I guess some of its stage length, but what is unique about JetBlue that others are taking capacity out and not seeing the same magnitude of unit cost pressure?
Edward Barnes: Well, I think one this is our no-furlough policy. So, we continue to carry flight attendants and pilots in those trough periods and pay them guaranteed minimums, and certainly our product as well, and we’re not willing to sacrifice our product to lower our costs further.
Kevin Crissey - UBS: Okay. That’s kind of what I thought. Last one, if I could: Any thoughts of unwinding your floors or kind of what the costs are of doing that practice?
Edward Barnes: Well, you know, we have mostly swap transactions. There really isn’t a cost to unwinding those instruments, and certainly we’re watching fuel on a daily basis, and if we think that that would be an appropriate thing to do, it’s something that we wouldn’t hesitate to enter into.
Kevin Crissey - UBS: Okay. Thank you very much.
Operator: The next question comes from Ray Neidl from Calyon Securities. Please go ahead.
Raymond Neidl - Calyon Securities Inc.: Good morning.
David Barger: Morning.
Raymond Neidl - Calyon Securities Inc.: Just one thing to clarify the ala carte revenues, some are, you said, I think, some are in passenger revenue, other is in other revenue. It’s probably obvious pillows and blankets you shouldn’t be putting into your yield numbers, but exactly what do you use to determine or break that down between the two categories?
Edward Barnes: Yes, I think, and again, Ray, we’re trying to continue to become even more transparent as we take a look at ancillary revenues and so even more leg room; that is in core PRASM. And previously we have given them guidance to that number over the course of the year, that we think it’s worth $40 million across our network. And then in terms of the other revenues, including the fees, bag charges, that type of thing, in fact, even now in my comments, starting to share what used to be $10 last year looking at $20 for employment this year, I think that’s as much to, from an educational perspective for our crew members as well, that you start to think about average fare over the course of the quarter at a record level; but at the same time, every customer is also, it’s an opportunity to upsell. And I don’t mean dime-and-dime, but to upsell into something that’s an enhanced product. So, you’re right. We’re not going to certainly use pillows and blankets as, you know, bake that into yield. That’s a nice example of really responding to what customers were asking for.
Raymond Neidl - Calyon Securities Inc.: Okay, and just a follow-up question is, going forward a big part of your program is turning over the aircraft to -- as you clip back ASMs to meet market demand. What are you seeing in the secondary markets for aircraft? I’m beginning to see some declines in values. Are you seeing the same thing?
Edward Barnes: Well, I think currently we’re not in the market trying to sell aircrafts, but I would assume that there is some softness in that market. I think that probably a lot of that has to do with the state of the credit markets out there and certainly the economic outlook, not only for the U.S. but globally.
David Barger: And just to comment on that too, Ray, the shear fact that as we’re closing ’07 looking at ’08 with 36 aircraft to be delivered this year, and this again was previously action taken, and in my script I was talking about debt aircraft deliveries of seven aircraft. It’s I think taking some of that, being predictable, if you will, from a standpoint of deferring airplanes and selling airplanes and leasing airplanes. And by the way, that action moving into 2009 as well, I think the finance team really did a nice job taking a look at our delivery schedule because I mean, over the last ’07, ’08, ’09, we were well over 100 airplanes that were scheduled to arrive on our campus. That would’ve been pretty significant.
Raymond Neidl - Calyon Securities Inc.: Great. Thank you.
Operator: The next question comes from Gary Chase from Barclays Capital. Please go ahead.
David Simpson - Barclays Capital: Good morning, guys, it’s Dave Simpson.
David Barger: Morning, Dave.
David Simpson - Barclays Capital: Quick question: On the first quarter ’09 you said the schedules right now are lined up to be down 5. Should we think of ’09 as having a lot more seasonality than historically? So, will that imply to get, you know, to no growth, would that imply a much bigger bill than the summer? Or should we just think of that sort of your view of ’09 at the moment depending on how the economy shakes out and you could carry that negative 5 through the rest of the year?
David Barger: Sure, Dave. Good morning, by the way. I think that as we have visibility into ’09 with the 5% smaller network footprint, a couple thoughts come to mind. First of all, our headline is we’re working the budget process for next year, and I’m pleased that we don’t present to the board here until the December time frame because it gives us greater visibility into oil, the economy, competitive landscape, demand, et cetera. And the no-growth headline is how we’re looking at ’09 right now. And a little bit more color on that: Even the second semester of ’09, keep in mind we started reducing our footprint rather significantly in 2008. So, we have the benefit of some of that run rate already into 2009, as an example, our 7 to 9% smaller footprint that we’re talking about here in Q4. So, I think really I would ask you to really consider a no-growth plan right now, as we’re still about 30 days away from presenting our final 2009 budget.
David Simpson - Barclays Capital: Okay, appreciate that color. And then just a quick one on obviously September RASM was quite good; so, any noticeable difference in the sort of the leisure markets versus the business markets? Anything you’re seeing in September that might show some changing demand profiles in New York? Or is it pretty much strength across the board?
David Barger: Yes, I think that number one and from a September perspective, I think we’re much more smart precision, if you will, regarding managing the troughs as we take a look at our customer demographics. By the way, the industry was doing the same. I think that this is probably also a good time that as we’re looking at the New York skyline right now as we’re conducting the telephone call right now, that the discretionary travelers, which by and large, make up the base of our travelers, we’re seeing resilient demand. And it’s probably the businesses associated with what’s happening here in New York that are more impacted, relatively speaking. So, it’s kind of interesting. We’re almost thinking of this as one time where this is the kind of customer demographic that is actually helpful to us.
David Simpson - Barclays Capital: Got you. Appreciate the color, guys.
David Barger: Hey, thanks, Dave.
Operator: The next question comes from Daniel McKenzie from Credit Suisse. Please go ahead.
Daniel McKenzie - Credit Suisse: Yes, hi. Thanks. Good morning.
David Barger: Morning, Dan.
Daniel McKenzie - Credit Suisse: I just wanted to circle back on the no-furlough policy that you guys have. I think at the analyst day for the T5 you talked about an R&R program for the pilots. I’m just wondering how that’s shaken out and whether that potential cost savings is factored into your cost guidance looking ahead to the fourth quarter here.
Edward Barnes: Yes, I think. In fact, Dan, a couple thoughts, and thanks for attending the investor day out at the terminal. Look forward to getting you back, as it’s now alive. The direct relationship with our crew members is just so important, especially as we fly through turbulence that the industry’s been flying through, certainly over the past several months, maybe over the past year. And voluntary programs, I mean, I think things that are just, you don’t see at any place else in the industry, the ability to offer whether it’s opt-outs or R&R programs or even job-sharing specific to pilots, it’s pretty creative. And I think that from an R&R perspective, over the course of the next year, and this is the ability to literally we call it relax and rejuvenation, but it’s the ability to take either a month, three, six, or 12 months off and still maintain the benefits of seniority as well as health care. And on average we’ve seen, on a monthly basis, numbers that are over 50 pilots opting into that program voluntarily. And I think it continues to really just build trust in the organization, because it’s relatively easy to have trust, I think anyway, when times are good, but when times are tough, you have to make sure that you’re sticking with the core principles; and certainly no-furloughs is one of our core principles at JetBlue.
Daniel McKenzie - Credit Suisse: Okay. Understood. And then I guess my second question relates to the reconstruction of one of the runways at JFK. What’s the timing for that? And then I guess related to that, how is the government working with the airlines to address the congestion that probably is going to accompany that?
Edward Barnes: Dan, Kennedy is going to be a rather significant -- it will undergo a rather significant renovation on the Bay runway, as we call it, runway 13 right, 31 left. It’s going to be into the end of 2009 into 2010 timeframe, approximately 120 days, with a resurfacing, and there’s some widening that’s taking place as well. And so, the airline community is working with Port Authority, obviously working with the FA. We have approximately a year, if you will, to prepare for how we’re going to work with a three-runway airport, if you will, at JFK, as opposed to four-runway, so about 12 months out. I think specific to partnering with the FA to drive capacity enhancements, it’s obviously with Russ Chew at the point, our president, our COO, his background with the FA, working through the initiatives that were agreed to with the FA, the Port Authority, we’ve got a full-court press that’s going on, and really it’s critiques that are weekly, monthly, as well as quarterly, not just with Kennedy but all the New York metropolitan area. So, it’s especially after the summer because slots were given up, and in fact, we’re not pleased with what we saw with performance on a year-over-year basis. So, that collaboration will continue to drive the enhancements.
Daniel McKenzie - Credit Suisse: Okay. Thanks. Appreciate that.
Edward Barnes: Thank you.
Operator: The next question comes from Bill Greene from Morgan Stanley. Please go ahead.
John Mack - Morgan Stanley: Hi, this is actually John filling in for Bill. Just a couple quick questions here. First, do you have an average swap price for your ’09 hedges?
Edward Barnes: That’s going to be in our investor guidance that’s coming out later today.
Daniel McKenzie - Credit Suisse: Okay, great, and can you give us a sense for the sensitivity around the cash collateral that you’re putting up on say a $1 or $5 move in oil?
Edward Barnes: Well, I think what I read in my script is probably the sensitivity that we’re going to give, which is at the end of September we had $30 million posted in collateral, and at the end of this year at roughly $70 a barrel we’d have $85 million posted.
Daniel McKenzie - Credit Suisse: Okay, thanks, and just a last question here. When I look at your PRASM performance of late, it’s kind of striking that you’ve been putting up such great numbers and also raising load factors. Do you get the sense that you’re possibly leaving money on the table by not increasing fares further? Or do you look at that and say, well, maybe we can add some frequencies or some capacity? How do you think about that?
David Barger : Yes, John, appreciate the comments on year-over-year PRASM growth, and I’m joined by the team today, Rick Zeni and Marty St. George and the commercial team, Robin Hayes; and we’re coming across our highest average fair ever, and so, the $143 dollars, an 11% increase on the year-over-year basis. So I think there’s a fine line in there between the -- and we are not hesitating to raise fares where appropriate, especially peak travel days, whatever it might be, but also maintaining the brand perspective of we don’t want to gouge a traveling public either. But fares that we now have today unrestricted at the upper end is a territory that’s totally new for this company.
Daniel McKenzie - Credit Suisse: Okay. Thanks, guys.
David Barger : Yes, thanks.
Operator: The next question comes from Bill Mastoris from Broadpoint Capital. Please go ahead.
Bill Mastoris - Broadpoint Capital: Thank you. Ed and Dave, very first question for you just has to do with aircraft sales, which is a major lynchpin of both your capacity management as well as your liquidity management. Are you seeing any weakness at all in the demand for A320s at all? I’m just wondering whether that’s tailing off or whether that still remains strong. Maybe if you could provide some color on it that would be very helpful.
Edward Barnes: Well, we anticipated, I think, earlier in the year that we would see some softness in the A320 market, which was one of the reasons that we entered into further deferrals. If you look at just the forward periods, in 2009 we’re going to take three A320s, and in 2010 we’re going to take three A320s. We already have two sales against the two A320 deliveries in 2009, and we have one lease return in 2009 as well. So, yes, we’re not really in the market right now for A320 sales, but I think it’s probably safe to assume that that market, and again due to just the overall credit markets and the uncertainty in the economy, is probably softening.
Bill Mastoris - Broadpoint Capital: Would you anticipate that any future sales -- I mean would you be willing to go ahead, for liquidity reasons, to go head and sell some of these aircrafts at very slight losses but that would preserve, if you will, your stated goal at 25% of LTM sales?
Edward Barnes: Well, you know, we look at a lot of levers that we can pull on the liquidity side, and certainly the excess value that we have in our aircraft is one of those levers that we can. Yes, I don’t know if we’d be willing to sell those at a loss or not, but certainly that’s probably a future decision.
Bill Mastoris - Broadpoint Capital: Okay, and then I just want to make sure that your goal of a 25% LTM level, as far as liquidity, is still in place. I know you mentioned that you were going to be at 20% year end, but I assume that 25% would be a fair run rate?
Edward Barnes: Well, our goal had been a range of 20 to 25%, and I think we’re going to end the year at that stated goal.
Bill Mastoris - Broadpoint Capital: Okay, and please refresh my memory, on your credit processing agreement; what are the covenants, fixed charge and unrestricted cash? And I haven't reviewed those recently, so I just don’t know.
Edward Barnes: There aren’t any covenants in our credit card processing agreement. It’s a relationship that we’ve built over time and we’re very transparent with our credit card processor.
Bill Mastoris - Broadpoint Capital: Okay, is there a grid where if your unrestricted cash level goes down you have to post additional cash collateral? Is that the way it works?
Edward Barnes: There’s nothing in the contract associated with credit metrics.
Bill Mastoris - Broadpoint Capital: Okay. Thank you.
Operator: This concludes our section with investors and analysts. With that we’ll turn it over to David Barger for closing remarks.
David Barger : Great, thanks, Christine. Just briefly in closing, really appreciate everybody joining us for the call today. I think most importantly, we look forward to seeing you, welcoming you aboard a JetBlue flight at our new home Terminal 5 at Kennedy airport. Yesterday was an incredibly uplifting day for our company and we certainly look forward to seeing many of you transiting T5 in the not to distant future. Thanks again for joining today. Bye-bye.
Operator: Thank you for participating in the JetBlue Airway Corporation’s Third Quarter 2008 Earnings Conference Call. This concludes today’s conference. You may all disconnect at this time.